Operator: Greetings and welcome to the AppLovin Third Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Ryan Gee, Head of Investor Relations and Strategic Finance for AppLovin. Thank you. Mr. Gee, you may begin.
Ryan Gee: Thank you, Jason and welcome everyone to AppLovin’s earnings call for the quarter ended September 30th, 2021. Joining me today to discuss our results are Co-Founder, CEO and Chairperson, Adam Foroughi; and our President and Chief Financial Officer, Herald Chen. Please note that our SEC filings, earnings release, and Shareholder Letter discussing our 3Q performance are available at investors.applovin.com. During today's call, we may be making forward-looking statements regarding future events and the future financial performance of the company. These statements are based on assumptions and beliefs and we assume no obligation to update them. Actual results may differ materially from the results predicted. Please review the risk factors in our most recently filed Form 10-Q as well as elsewhere in our SEC filings for further clarification. We will also be discussing non-GAAP financial measures. Reconciliations of our GAAP and non-GAAP financial measures are included in our earnings press release, Shareholder Letter, and our 10-Q. Please be sure to review these reconciliations as non-GAAP measures are not intended to be a substitute for or superior to our GAAP results. Reminder this conference call is being recorded and replay will be available on our IR website shortly. With that, I will now turn it over to our CEO, Adam Foroughi.
Adam Foroughi: Thanks Ryan. Our headline results and our Shareholder Letter outline our strong Q3 performance. So, I'm going to keep my comments brief to allow more time for Q&A. I want to emphasize three things that really speak to the platform we are building and how our differentiated model is driving our success. First, consider how fast we are growing. Our software platform revenue just grew 385% year-over-year to $193 million. Our growth has been accelerating for four quarters in a row now, largely organic. We quadruple their new specs and our net dollar base retention was 255%. Second, consider the massive opportunity still ahead of us. As the market absorbed IDFA changes, most advertising platforms saw modest sequential gains, yet our software business grew 32% quarter-over-quarter. We were growing fast before platform changes and continue to do so after, which is a testament to the strength of our team and our technologies. Our customers are performance-driven, that means our growth and our scale is a direct reflection of the strong performance of our integrated platform. Our exceptional growth rate is continued proof of the advantages created by our business model and machine learning platform, AXON. You may not realize it, but AXON is only a year old and we've seen rapid acceleration in customer performance and adoption. That's why we're so excited about our future. We think we have a path to grow our software business for 30% plus year-over-year for many years to come. Now, there's clearly a lot of execution ahead, but just imagine what it would take for us to grow like that for the next decade. It would only take adding 20% more specs a year and growing a dollar per spec 10% per year. Today, we have 280 specs on AppDiscovery and MAX accounting for $587,000 per quarter each of GAAP reported software revenue. The count of specs just grew 18% versus Q2, and our dollar per spec just grew 13% versus Q2. Adjust brought on our salesforce for the first time. We have just begun selling our platform, AXON. Our performance is exceptional for our existing clients and we have a huge opportunity to attract new ones. It isn't hard to imagine us being a $10 billion software business in 10 years. And remember all the incremental dollars are almost all margin. Lastly, consider the potential combination of MAX and MoPub. MAX is already one of the largest and fastest growing ad exchanges powering around $5 billion in media spend. A year ago, 10,000 apps were using MAX as a software platform to manage their ad monetization. As of the end of Q3, that number is almost 30,000 and growing rapidly. We believe our unified platform should surpass $15 billion in advertiser spend across all industry bidders entering 2023. This would make our exchange one of the largest advertising ecosystems in the world. With that, I'll hand it off to Herald to walk you through our financial details.
Herald Chen: Thanks Adam and thanks to everyone for taking the time to join us today. As you can hear from Adam, we're extremely pleased with the performance of the business in the quarter, continuing on the strong momentum we saw in the first half of the year and we feel like we're very well-positioned for growth in the fourth quarter next year and beyond. In Q3, year-over-year, we did grow total revenue 90% and EBITDA more than doubled year-over-year. We were able to drive 26% EBITDA margins and have another rule of -- number that's well under three digits. As Adam noted, our software performance was exceptional and I wanted to highlight a few more details that you'll find in our Shareholder Letter. Even when excluding adjusted, software platform revenue quadrupled versus last year and increased organically by 316%. It's due to the efficacy of our software solutions that's clear to the market, adding both the number of specs that we added as well as increasing the take rate we're getting from each one of those specs. Software now represents 27% of our overall revenue and as our software grows, that drives margins and cash flow that can be reinvested in our business. On the app side, the portfolio grew 56% year-over-year, a very solid performance and our maps increased quarter-over-quarter as well. While this is strong performance from an application standpoint, this really helps to generate more scale first party data, which is a key component or AXON Machine Learning Engine, which as you know, powers our software platform. Note, this extra cash flow that we've been generating from software allows us to reinvest in our business across the board, including studio development capacity and investments in Q3, where we invest in behind a robust slate of future titles. As Adam mentioned, we continue to see positive tailwinds in our business and are excited about our expanding market and strategic and financial position soon entering 2022. As we talked about in the second quarter, our outlook for software is to reach over $1 billion of revenue in fiscal 2022. That's over a 60% year-over-year growth over our $600 million target also offered in the second quarter. Now, on top of that, with a pending acquisition of MoPub, that would add an incremental $240 million to $260 million of revenue run rate exiting 2022 and would have very minimal costs at about $40 million. As discussed, we're waiting for regulatory approval to determine the timing of the close of that transaction. Before we take your questions, Adam and I are pleased to also announce that Alyssa Harvey Dawson has joined our Board of Directors. Alyssa is currently the Chief Legal Officer at Gusto, a modern HR software platform. Her deep experience in past roles across tech and consumer verticals will be highly accretive to our Board. We're also pleased to announce that our Board member Cathy Sun joined AppLovin full time this past summer to help lead new initiatives. Given her new role in the Board, she'll be stepping down from the Board -- she has stepped down from our Board this past meeting. With that, I'll turn it over to Ryan to help organize some questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Youssef Squali from Truist Securities. Please go ahead.
Youssef Squali: Great. Thank you very much and congrats, guys. Two quick questions. First, maybe on the software platform revenues, explosive growth, how should we think about growth in the fourth quarter and fiscal 2022, particularly as your anniversaried launch of AXON in September, I guess you've already I guess anniversaried at the $193 million run rate, the $1 billion target that you have for next year looks pretty reasonable. Just wondering if there is -- if you see potential upside to that ex-Admob, of course. And then it looks like half or maybe 40 of the specs net ads came from Adjust, which maybe speaks to the attraction in upselling those clients to your solution, the other half were I think net new, which is kind of in line with what you guys did in the prior quarter, I think in Q2, is that the right interpretation and the right cadence we should think of as maybe we look forward or we'll look at the growth in that segment? Thank you.
Herald Chen: Thanks Youssef. Maybe I'll start and Adam you can add on and take in reverse order. Just in terms of the number of specs that we do break it out for you in the Shareholder Letter, we articulate that excluding Adjust, we have 280 specs on our AppLovin software, excluding Adjust and in the second quarter, we had 237. So that run rate, you're right is about additional 40 excluding Adjust. Now, Adjust obviously give us access to their salesforce, they're cross-selling our solutions, and ended on themselves by the way that the Adjust product for attribution is growing and adding spec count as well, that gets us to the total of 449. So, we're excited by that progress. We're excited by that salesforce. Ultimately, if we're able to close MoPub, that obviously goes a lot more bandwidth in terms of team as well as technology to sell as well. So, I think that's a good run rate for us to continue to execute against that 40-plus specs for AppLovin alone. It will start to get more confusing those as we do cross-sell, it'll be harder to determine. Was it really just an MoPub customer, as you know, we have over 8,000 customers on our platform, but only the 449, they're at the spec level today. So, there's a lot of existing customers that may not be viewed as new, but will become spec over time. And with your question regarding the software, we gave the guidance in the second quarter on software for the first time, we don't intend to update that guidance today. But as Adam said, we're extremely excited by the quarter-over-quarter growth rate, where we had the 18% increase and 13% increase in price quantity respectively. And we think that momentum will continue as Adjust salesforce continues to ramp our technology, our machine learning engine continues to improve and with scale machine learning engines also improve. So as we add on to the platform, there is a virtuous cycle to that improvement. And then hopefully with MoPub in 2022, sometime, we will be able to accelerate it from there. I think our plan would be to update guidance in general, including talking about our software number when we report the fourth quarter numbers early next year.
Youssef Squali: Got it. Thanks Herald.
Operator: The next question comes from Stephen Ju from Credit Suisse. Please go ahead.
Stephen Ju: Okay. Thank you. So, Adam, big picture. I think at last quarter's Shareholder Letter, you disclosed that you helped your clients install about 2 billion apps in the first half of the year. So, if we are on track to make that 4 billion installs for all of this year, on audience that you have around like 2 billion people, that's like two installs per user per year, which seems like a lot of whitespace for you to run into. So, you talked a lot about that the dollar growth that you can drive, but talk about the pieces that are coming together for you to make a more efficient use of your ad impressions that you're showing now. So, we can think about taking the installs from maybe 4 billion this year to maybe 15 billion, 16 billion, 20 billion over some timeframe? Or if your growth is not going to be as volume-driven, like what can help you drive higher effective pricing over time? Thanks.
Adam Foroughi: Thanks Steven. And really this ties back to some of the stuff I was saying in the lead in, but we're really excited about the many year outlook on the software business, because AXON is just a year old and it's really easy to forget that in our business. And machine learning platforms get much more precise over time as they accumulate more data and more opportunity. When we started the platform a year ago, we only had in the hundreds of specs. Now, we have 280. Imagine a machine learning software that had one, it couldn't personalize or matchmake very accurately in terms of what it was going to show a customer. Well, we have 280 customers that are spending a substantial amount with us and getting exceptional performance. So, what we're most excited about is bringing more customers online, will give the platform the capacity to become more personalized in the offering, and then that'll drive up pricing because it'll also drive up competition. We think that can lead to an immense amount of growth over the next decade.
Stephen Ju: Thank you.
Operator: The next question comes from Tim Nollen from Macquarie. Please go ahead.
Tim Nollen: Thanks very much. Just like to ask a question on MoPub please. If you could talk a bit more about the scale benefits that it really brings you. It seems like kind of an obvious thing to say that scale is important, especially on the aviation [ph] side, but just maybe a bit more color on how that really helps you? And then it's its growth rate seems to have been fairly slow coming into your acquisition, I wonder how much it can help -- how much you can help accelerate it or it can help accelerate your growth? Thanks.
Adam Foroughi: Thanks Tim. MoPub itself as a platform has been in the market for about a decade. They built out a lot of tools. They catered a much broader set of demand. Tools that that are successful tools for agencies and brands to bring demand into the mobile marketplace, as well as a robust set of DSPs. Pretty much every DSP in mobile was working with our marketplace. When we launched MAX three years ago, we took a different approach and built a lightweight platform that was really automated and pure for the mobile game developer. And MAX has we've noticed has grown immensely. It's processing around $5 billion of advertising spent a year right now on the platform. What we didn't do was layer on this incremental functionality that would bring even more demand into the ecosystem. By bringing MoPub supply in, we'll expand the supply to get to a point of late next year, what we think is a target of over $15 billion of ad spend, which makes it one of the largest platforms in the world. When you have a platform that big, it attracts demand and we'll be combining in the unified solution the MoPub products that to go attract that demand over and we think once that happens, the whole platform will accelerate and grow.
Tim Nollen: Thanks. And does it expand you much beyond the gaming vertical into other sectors as well?
Adam Foroughi: 100%. MoPub works with both games and non-games. And a lot of these technologies and products that they built for a broader set of demand appealed to non-gaming just as much as gaming. So, we're going to go after the entire mobile app ecosystem with this this integration and unified solution.
Tim Nollen: Great. Thanks, Adam.
Operator: The next question comes from Alexia Quadrani from JPMorgan. Please go ahead.
Alexia Quadrani: Thank you. Adam, I wonder if you could just provide an update on how the IDFA changes impacted your software and content businesses through the quarter? And then maybe I'll do a follow-up on MoPub, I'm wondering if you could just talk to the integration of it, how you'll onboard their apps onto MAX and maybe speak to any risk of client attrition during that time? Thanks.
Adam Foroughi: Yes, I'll go reverse order just so I can remember. MAX, in marketplace discussions and talking about a unified MAX MoPub platform, the reception has been exceptionally positive, both in terms of advertisers and publishers. MoPub itself, as part of Twitter, wasn't a focused product. It's been a long-term product that had a lot of retained customers for many years. But there hadn't been a lot of innovation and product investment the way we do when we're focused on a product that's core to our business. And so as we've spoken to the publishers, there's a lot of excitement about the possibility of bringing the two platforms together, and tapping into this immense scale and incremental demand, which we think will create more competition, more publisher yield, and more growth in the ecosystem for all parties that intersect with it. On the first question, the IDFA impact in the marketplace, as you saw in our numbers and a lot of advertising platforms, advertising quarter-over-quarter was mostly muted in terms of growth. So, there is loss in terms of targeting that's possible with IDFA going away, and publisher CPMs did diminish on iOS, that was offset on the publishing side with gains on Android as demand shifted over there. Now, our platform, we have an advantage in the marketplace because of our scaled first-party data that fuels our AXON machine learning system. And as prices came down and competition lessoned, our platform stood stronger than others. And that's what allowed us to grow faster than others. That paired with the fact that we were already on a really fast growth trajectory because of AXON quarter-over-quarter for the last few quarters and that continues to accelerate led to the strong quarter.
Alexia Quadrani: Thank you.
Operator: The next question comes from Clark Lampen from BTIG. Please go ahead.
Clark Lampen: Hi, guys. Good evening. I wanted to ask a follow-up on IDFA relative to the last question. When we did some checks into the quarter, one of the biggest sort of points of friction that we sort of came up with as you and peers were seemingly gaming share, was the idea that developers were somewhat limited in terms of budget deployment because of scale and reach. The MoPub deal seems to go a long way in sort of reducing that kind of friction. So, I'm curious if we should expect maybe share gains to increase or compound or maybe spending to increase or compound from here? And then separately on the consumer business, I wanted to see getting you guys just launched Bermuda Adventures at Belka, I wanted to see if he could give us an update on maybe what the pipeline looks like over the balance of this year and into next? And also whether there are specific games or studios where you're expecting to deliver new content that might help you recapture or grow the active player base? Thanks.
Adam Foroughi: So, on the first question, obviously, to grow a business as quickly as we are, it could be the possibility of technological enhancement, more customers or share gains. We think we've gotten -- we've executed across all three of those factors. And you almost have to to be able to grow as much as we did quarter-over-quarter. Companies that depend on identity, lose more when the ID goes away, especially when that identity is built on third-party data. Our identity and our datasets and models are built on our first-party data. And so we ended up in a very advantaged position. We're also starting from a very low point of penetration with customers. When you talk about a business that's getting as big as ours as quickly as it is, and only having 280 software platform enterprise clients, it leaves a lot of room for growth. So, we were already executing on all vectors coming in. IDFA changes help decrease competition in the market. Our business model has advantages that are going to be hard for others to overcome. And we continue to accelerate through it. Now, the market is just green field for us and there's going to be more customers that are going to come on our platform is as a unified MAX and MoPub supply, there are very few add opportunities in the world at the scale of $15 billion a year of ad spend flowing through one single access point and our exchange will be that and so we're really excited about the future prospects of this business. In terms of games and evergreen titles, we touched on this last quarter, we do invest heavily in games -- in game development and in particular, organic releases of games, there's going to be a focus going forward. In order to continue to facilitate growth in our software business, data is key and first-party data, as we've touched on is really important. So, we do want to keep our content fresh. Over the quarter, we launched three titles, that took half the investment. And what we call an evergreen title is one that we think will get to $100 million plus a year revenue run rate and cost multiple millions of dollars to develop. We launched three of those in the quarter; Ace Defender, Bermuda Farm, Jackpot Master Slot. All three we believe over the next year, we'll go and achieve the $100 million a year run right and will be titles that will engage players for years to come. As we continue to invest in our workforce, now 3,000 roughly creators around the world, we're really going to invest behind developing our own content, organically releasing them in a high amount of frequency, and continuing to fuel growth on the app side and more fresh data coming in, that we can then go monetize on our highly successful software platform.
Clark Lampen: Thank you.
Operator: Our next question comes from David Pang from Stifel. Please go ahead.
David Pang: Great. Thanks for the question, guys. Can you talk about the composition of new enterprise clients? Did you see an uptick of non-gaming clients in the quarter?
Adam Foroughi: The new enterprise clients in large part still are a lot of clients that are just spending more on our platform and tipping the threshold. If you've got 250% roughly net dollar retention, a lot of those customers as Herald touched on 8,000 in the system, will continue to cross over into the threshold and grow because the solution is just working so well for even the smaller clients in our system. The Adjust cross-sell opportunity -- and really instead of calling it that, I'd like to think of it as our salesforce is bringing new customers on board as well. And we didn't touch on this, but just one data point that that's exciting for us is that non-gaming customers quarter-over-quarter, Q3 versus Q2 grew almost 100%. It was our fastest growing vertical. Now, we don't break that out formally yet. It's still too small in the overall grand scheme of all of our numbers. But it is a huge growth opportunity. And as we bring that MoPub supply online and integrate it with our MAX supply and create that amount of scale both across gaming and non-gaming publishers, we think that non-gaming category is going to be very compelling. We've also recently put out a couple of case studies that highlight new non-gaming customers coming on our platform and seeing a lot of success. So, going forward, we expect that to continue to be a growing part of our new specs coming online.
David Pang: Great. Thanks.
Operator: The next question comes from Ralph Schackart from William Blair. Please go ahead.
Nick Leibold: Good evening. This is Nick Leibold on for Ralph Schackart. I wanted to ask on the MAX mediation platform. More recently Unity announced its in-app bidding offering and IronSource announced its acquisition of a TapJoy and obviously your MoPub acquisitions been talked about. So, I was hoping you could maybe share your view on the competitive landscape within your mobile ad tech with this recent consolidation. Do you view the growth and consolidation of other mediation platforms as a threat? Or is it a net benefit to the ecosystem and how much crossover is there on clients that are using both yours and IronSource and Unity's unities offering?
Adam Foroughi: So, clients tend to only use one because these platforms are pretty robust and fairly complicated to integrate. But we're a fan of there being more options for publishers. The more options there are in the marketplace, the more innovation there is, both in terms of demand partners, and in terms of publishing partners. What we're focused on is delivering the best solution for publishers. And we put out a blog actually on AppLovin blog yesterday that we link to off the Shareholder Letter that shows you how fast MAX has been growing. We launched it three years ago. In three years, it's grown to be one of the largest platforms in the marketplace, and almost 30,000 apps have integrated this platform. And as I touched on, they don't usually use another one at the same time. So, you can think of it as almost exclusive integration. The MoPub clients coming over will take that scale and create a lot more, roughly double, and both in terms of apps, audience, and dollar spent through the platform. And so we're really excited about the possibility of unifying the platforms, the products that we're going to be able to enable, and the gains that publishers and advertisers will see from all of that. And so we're very focused on executing our vision going forward.
Operator: The next question comes from Brian Nowak from Morgan Stanley. Please go ahead.
Matt Cost: Hi, guys, it's Matt on for Brian. Thanks for taking the question. Looks like there was about $180 million worth of acquisition in the quarter on the cash flow statement. I'm just wondering was there anything -- what was the composition of those acquisitions? And was there any contribution to 3Q revenue from any businesses you brought in? And then just secondly, just looking at the composition of growth, it looks like spend for second spec were both up in 3Q. Adam, you referred to kind of like a future formula for growth, as you know, growing at a 10% rate. I know that wasn't guidance, but just how do you think about the drivers of growth on a per spec basis? What are people spending more on? They just use -- putting more wallet share into your product, are they using multiple products? How does that go up over time? Thanks.
Adam Foroughi: Yes, let me answer the second one, the business question, and then Herald will touch on the usage of new capital in the quarter. The driving factors for dollars growing on specs in the platform or really it's very simple. It's just efficiency. Customers are buying on our platform on a performance basis. They're either buying, targeting a specific return on ad spend or they're buying targeting a cost per subscriber, a cost per first food order, cost per purchaser, but it is some function of a goal that they have, so they go and target. As customers spend more, they put more data into our system and our system gets more efficient. As it gets more efficient, they want to put more dollars into the system. So, it just creates a very sticky product that gets them to have a desire to continue to invest more dollars into the platform and that's what you saw this quarter, with just quarter-over-quarter, the same clients growing 13% in the dollars that they spent. Now, again, we only have 280 specs in the system. As we get more competition in the platform, if customers are getting the results that they want and competition goes up, inevitably, they're going to have to price more aggressively to continue to spend at a more accelerated clip. And those two factors combined create a function that creates growth on both numbers. And so that's what we're very excited about. That's been a formula that's fueled ad ecosystems that have become very big over time. Consistently, as you add competition, you create growth and so that's the inflection point that we're at. We've got the salesforce, we're bringing the MoPub team as well, super sophisticated team. They'll be able to sell to agencies and DSPs and a lot of app developers. Our own team will be selling app developers. And so we think as more clients come in, everything's going to go up into the right from here for many years to come. And Herald can touch on the use of the cash.
Herald Chen: Yes. Thanks Adam and thanks matt for the question. Look overall, is everyone else in the M&A side, we continue to be on the lookout for the right strategic acquisitions to drive long-term growth. We know we're looking for, we know what assets are worth and so allows us to move quickly with speed and certainty on what want to own and then not waste time on things that don't fit our criteria. Because in the gaming, we've got a fairly comprehensive portfolio now and with a strong first-party data, however, we certainly want to augment that as we can. And in the quarter, we did find of that number, there was one asset that was about $150 million of an asset app purchase, that was included another casual game app that fits well in our portfolio. That was the majority of the spend in the quarter. But we'll continue to be on the hunt for those assets. We're not super-focused on adding apps, particularly given the elevated pricing in the market, but we'll certainly be looking -- and then on the software side, as you can tell, particularly with the MoPub deal, we're looking for the right strategic opportunities there as well.
Operator: [Operator Instructions] Our next question is from Martin Yang from Oppenheimer & Company. Please go ahead.
Martin Yang: Good afternoon, Adam and Herald. A follow-up question on the previous analysts. Can you maybe talk about how your scaled first-party data that are collected on the platform can inform on your app development and the type of studios you choose to partner with?
Adam Foroughi: So, our scaled first-party data is much more important to fuel the growth of our software side. It helps inform the models on what the users are interested in, and what other users that are similar to them are interested in. And that's really what's fueling the success on the software side. So, that first-party data doesn't inform what we do on the app development side. Actually, for years, our goal on app development was to go partner with studios across every genre of mobile gaming that we believed we can grow. And many of these studios were early in their growth cycle and -- so we went out, partnered with them, helped facilitate growth, that scaled data across an interest category to us. That data then feeds into our software engine and that's fueled a lot of the growth. We now are at a point where with numerous studios, almost 20 around the world, and 3,000 creators, we've got expertise across every major mobile gaming category. So, we're very excited about where we're at. And now we're investing into taking the current games and continuing to expand them and creating new games and organically releasing them into the market. And so long as we execute on that, we'll continue to have scaled data feeding into our engine that we're monetizing exceptionally well.
Martin Yang: Got it. Thanks. The second question is whether or not there's any synergy between MoPub and Adjust, that will help you to approach non-gaming customers? Or are they just separate touchpoints to work with the non-gaming customers.
Adam Foroughi: It gives us access to more potential clients, both for Adjust an AppDiscovery and obviously, the unified mediation platform. The MoPub team is also very seasoned. So, they'll integrate with our team, salesforce will integrate the will create a unified offering, both in terms of publisher sales and advertiser sales. And we think just reach an access of market leading solutions across attribution, growth, and discovery and monetization will let us go get in front of every single major company in the space, which should facilitate more sales.
Martin Yang: Got it. Thank you very much.
Operator: Our last question comes from Clark Lampen from BTIG. Please go ahead.
Clark Lampen: Thanks for taking the follow-up. I've got a hunch that you guys are going to punch this question into the stratosphere. But you dropped a bit of a breadcrumb with Kathy [indiscernible] coming on board to Florida to help you explore some new initiatives for the business? And just curious if you might be willing to give us a general sense for what he's spending our time on now? Or maybe ask differently. Can you remind us what you guys think are the most attractive adjacent opportunities for the business today?
Adam Foroughi: Well, we'll get there soon, Clark, but right now, what you should think about is what are the assets that we have in place and what else can we do with that? Because that's what guides our thought around new initiatives. And we launched AXON machine learning engine a year ago, and you've seen really dramatic growth on software. We went from 200 years ago to talk about 600 plus this year to over a billion next year, and accelerating and that's offer is working really well in a highly competitive ad ecosystem. What else can that type of machine learning be applied to is something we will always ask ourselves and that can guide us. Another way we think about it is we go out and monetize mobile app inventory right now, predominantly using full screen video ads. What are were other places where the consumers that we have data on at in this first-party data, that we can go find those consumers and serve them video ads, using our software engine to create scale and grow. So, that's another way to think about it and what we think about. And then the third and most important maybe, is our audience is around 200 million monthly actives playing our mobile games. We've got 3,000 game developers, building content for our platform. The audience of our own network isn't the $2 billion -- 2 billion users a month. So, it's a massively scaled audience of mobile game players and then mobile game developers both building games for us and third-party clients of ours. If we can use that reach that audience those games, to then go after some of the newer opportunities in terms of usage and gameplay and ownership to the consumer and things like Metaverse and blockchain that could also be interesting. And so we think about all of these things. We think we've got very exciting assets in place to really go after these opportunities and over the next couple of years, we hope you'll see us execute on many of the above.
Clark Lampen: Appreciate it. Thanks.
Operator: There are no more questions in the queue. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.